Operator: Welcome to the AerCap Holdings Second Quarter Results Conference Call. At this time, all participants are in listen-only mode. This call is being webcast and an audio version of the call will be available on the company’s website. This call is also being recorded for the replay purposes. I now hand the call over to Peter Wortel, Head of Investor Relations. Please go ahead, sir.
Peter Wortel: Thank you operator, Good day everyone and welcome to the 2014 second quarter results conference call. With me today on the call are Aengus Kelly, AerCap’s CEO and Keith Helming, AerCap’s CFO. Before we begin today’s call, I would like to read the disclaimer language to you. I also want to remind that some statements made during this conference call that are not historical facts may be forward-looking statements. Forward-looking statements involve risks and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. In addition, this conference call contains time-sensitive information that reflects management’s best judgment only as of the date of the last call. AerCap does not undertake any ongoing obligation other than that imposed by law to publicly update or revise any forward-looking statements to reflect future events, information or circumstances that arise after this call. Further information concerning issues that could materially affect performance related to forward-looking statements can be found in AerCap’s earnings release dated August 12, 2014. A copy of the earnings release and conference call presentation are available on our website at aercap.com. This call is open to the public and is being webcast simultaneously at aercap.com and will be archived for replay. I’ll now turn the call over to Aengus Kelly. Please go ahead.
Aengus Kelly: Thank you, Peter. Good morning to everyone in the U.S. and good afternoon to those of you in the Middle East and Europe. Thank you for joining us today for our second quarter earnings call. The first set of results reported by AerCap following the completion of the ILFC transaction which closed on May 14. The ILFC transaction has transformed AerCap strategically, operationally, and financially. While it is still relatively early in the integration process, we are pleased to report that we have incurred no unscheduled aircraft downtime, no unplanned labor excursion and 90% of our assets have been transferred to our Irish operations. The operational progress thus far is time for the tireless efforts of the entire AerCap team around the globe. Including those who have joined us from ILFC. We continue to be very impressed with the depth and quality of the talent of those professionals. Their contribution and ability to quickly integrate has provided tangible benefits as I will detail in my remarks on our recent efforts in aircraft placement and aircraft procurement. At the macro level we are particularly satisfied with the level of strategic interaction we are having with both our customers and OEM suppliers. The success of the transaction to-date is borne out by the numbers. In Q2 which incorporates the ILFC for six weeks AerCap generated adjusted after tax net income of $215 million and adjusted earnings per share of $1.31. Our net spread or NIM which is the crucial measure of the company’s performance run at a five year high of 10.1%. Our fleet utilization was 99% and as of June 30th, AerCap had $6.5 billion of available liquidity on hand. During the quarter we executed 122 aircraft transactions more than one per day. On the sales side since the announcement of the transaction in December of 2013 we have disposed of our contracted sale almost $2 billion of assets double our targeted annual assets sales of $1 billion. Turning to the order book. As of June 30 we have committed to purchase 350 aircraft to be delivered through the end of 2022. Despite this long lead time I am pleased to report that we have already placed 90% of the deliveries through December of 2016 and 50% of all deliveries scheduled between now and end 2022. We have deliberately held back the placement of a number of A320 NEO aircraft in 2016 in order to maximize the option value of these slots. This very strong placement activity is a result of our highly attractive order book and the global reach of our platform. The placement of such a substantial part of our order book provides both stability and visibility into the future profits and cash flows of AerCap. As you are aware we also had a purchase option to acquire an additional 50 A320 NEO aircraft on the same very attractive terms as the original launch terms ILFC received from Airbus. The demand for the A320 NEO is extremely strong and therefore we exercise this option. We firmly believe that this was value maximizing for our shareholders. Turning to third parties. The transaction has been extremely well received by our customers, our suppliers and our financiers. Given the scale and global penetration of our fleets we are engaged in all aspects of fleet planning exercises with our customers this is providing AerCap a competitive advantage. We have also finalized the purchase accounting adjustments precipitated by the ILFC acquisition. At the announcement of the ILFC transaction we estimated a run rate of approximately $1 billion of after tax net income. The post implementation of all synergies, the doubling of the stock price since the deal was announced led to non-cash purchase accounting adjustments which will reduce earnings by approximately $140 million per annum. Very importantly though this non-cash impact has been more than covered by $170 million per annum of cash operational improvements we have observed in the business. The ILFC deal has also caused one additional non-cash maintenance accounting adjustment which reverses overtime. Keith will talk you through this. Looking at the market and demand for aircraft we see robust demand for the A320 and 737 family aircraft particularly the A321 and 737800. On the wide body side we see good demand for A330 and 777 aircraft. We are also observing continued demand for good quality 767s and 757s. The extremely attractive nature of our order book is evidenced by the very strong placement activity I referenced earlier. In terms of receivables we have reduced the legacy ILFC receivable balance and do not have any material issues in receivables at the moment. We are of course carefully monitoring geopolitical events and potential impacts thereof. Discipline and a strict adherence to four core strategic pillars have been at the heart of AerCap success over the years enabling us to successfully manage risk while driving profitability and growth. These principals apply as much to AerCap now in its position as the world’s leading aircraft franchise as it has over the past several years. To recap, firstly, we take a very direct and proactive approach to managing credit risk. At the end of Q2 we had significantly reduced the legacy ILFC overdues. Secondly as we mentioned before we are always working and optimizing our portfolio and you can see this reflected in both our sales and purchase activity for the quarter. Since the announcement of the ILFC transaction we have completed $2 billion worth of aircraft sales. And subsequent to the quarter end we exercised the option to purchase 50 A320 NEO family aircraft from Airbus. As I noted this is an aircraft that is in very high demand, but importantly by exercising this option we triggered another purchase option of 50 A320 NEOs on the same terms that ILFC had negotiated again as part of original launch customer order. Thirdly, we are very focused on maintaining a long-term stable liability structure to match our long-term assets. Total financing transactions year-to-date amount to $7.3 billion and include the origination of an unsecured revolver, term loan and acquisition take our financing. This demonstrates our paralleled access to numerous funding sources around the world and strategically important access –. Fourthly, we hedge our interest rate exposure through a combination of interest rate capes, fixed rate debt and swaps, mitigating risks from volatile swings in interest rates. Now despite the purchasing power our platform and liquidity position affords us as well as the markets growth potential be in no doubt that AerCap maintains its discipline when it comes to managing and deploying our shareholders capital. It is these values that put AerCap in a position to complete the ILFC deal in the first place. Finally, let me say that we are deeply saddened by the horrific and tragic events regarding Malaysia Airline flight MH17 in the Ukraine. As many of you already know the aircraft was part of our leasing portfolio through a joint venture structure. On behalf of all of us at AerCap I would like to extend my sincere condolences to the families, friends and loved ones of all the passengers and crew members who perished on board this aircraft, our sympathies are also with Malaysian Airlines a long-standing customer of ours. With that, I will hand over to Keith before we start the Q&A.
Keith Helming: Thanks. Good day everyone. I will start first with an update on purchase accounting which you can follow along in pages five and six of the presentation. Our second quarter financial statements due reflect the fair value of the assets acquired and liabilities assumed in the ILFC acquisition. The impact on the purchase price driven by the significant increase in AerCap share price from the announcement of the ILFC transaction to closing is reflected in the purchase price allocation through the assets and liabilities. The fair values were determined using the market and income approaches and are subject to change during the 12 month measurement period. The most significant areas include flight equipment, the forward order book, outstanding debt and maintenance rights asset. The maintenance rights asset represents the difference between the actual physical condition of the AerCap on the acquisition date and the value based on the contracted return conditions in the lease contract and is reflected as a maintenance rights intangible asset on the balance sheet. After discussions with the staff of the SEC through a pre-clearance process we concluded that our reported net income net earnings per share should reflect expensing this asset during the remaining lease term. Moving to slide seven. Although we concluded that we should expense the maintenance rights asset during the remaining lease term, we believe it is important to understand how this compares to expensing this asset over the remaining economic life of the aircraft which is what you would typically see outside of business combination accounting. The difference in these two methods is shown on page seven of the presentation. The impact from expensing the maintenance rights asset during the remaining lease term as compared to the economic life of the aircraft well reduced reported earnings by approximately $80 million per annum for the period to the end of 2017. The difference in the two methods has no economic impact and is not cash and reimbursed post 2017. The difference in the two methods will be included in determining adjusted net income. Page eight provides an update to the annual earnings run rate including synergies. Our original guidance of $1 billion per annum remains intact. The higher depreciation and share comp cost from the increase in the share price has been more than offset by better operational performance. This includes the better top-line revenues from a greater demand for the aircraft, lower financing costs on new debt issuance and faster transfer of aircraft to ROA. You can see this in the section on the left side of the slide. Slightly higher cost relating to the expensing of the maintenance rights asset will impact the earnings run rate through 2017 with the offsetting impact in the year subsequent to 2017. You can see this in the middle section of the slide and the right side of the slide. It is very important to note the these earnings amounts for future periods are not guidance but are based on a steady state to reflect the timing impact related to the expensing of the maintenance rights asset. Moving to slide nine, our reporting net income for second quarter was $138.3 million. During second quarter we incurred post tax expenses of $88.4 million relating to the ILFC transaction. Adjusted net income which excludes the varied items listed including the adjustment for the maintenance rights asset was $212.4 million. Reported earnings per share were $0.84 in second quarter, adjusted earnings per share were $1.29 during the same period. The average shares outstanding during the second quarter was $165 million. Page 11, total revenue in second quarter was $807 million, in the second quarter maintenance related revenue was $47 million, net gain on the sale of assets was $19 million and other income was $24 million. The increase in revenue was driven primarily by ILFC acquisition. Page 12, net interest margin our net spread was – the annualized margins as a percent of average lease asset was 10.1% up from 8.5% during the same period in 2013. Page 13, the impact from asset sales in second quarter of 2014 was a pretax gain of $19 million. During second quarter we sold our 42% equity interest in our data, our 37 aircraft Genesis portfolio and four other aircrafts from our own portfolio. Page 14, leasing expenses were $22.6 million and SG&A was $63.3 million in the second quarter. Also in second quarter 2014 we incurred $101 million pre-tax basis of transaction related expenses relating to the ILFC acquisition. Page 15, AerCap’s unrestricted cash balance at the end of second quarter was $1,731 million our total cash balance included restricted cash with $2,530 million. Operating cash flows were $455 million for the second quarter. Page 16, our available liquidity sources over the next 12 months is $9.6 billion and contracted debt maturities and CapEx over the same period of $6.9 billion. This results in excess liquidity coverage of $2.7 billion and ratio of sources to uses of 1.39 times. These sources do not include any additional financing for deliveries of new aircraft purchases. Page 17, at the end of second quarter AerCap’s debt balance was $31.3 billion and our adjusted debt to equity ratio was 3.7 to 1. Our book equity is $7.3 billion and our average cost of debt for the second quarter was 3.5%. Page 18, with regard to our second half 2014 financial outlook lease revenue is expected to be approximately $5 billion on an annualized basis. Cost on an annualized basis are expected to be as follows; depreciation of $2.1 billion excluding the maintenance rights expense adjustment, interest expense of $1.1 billion and $600 million for leasing, SG&A and share comp expenses. The tax rate is expected to be approximately 18% in the second half of 2014. The financial details for the second quarter and I’d like to now open it up to Q&A.
Peter Wortel: Operator can you start the Q&A please.
Operator: Thank you sir. (Operator Instructions). We will now take our first question from [Moshe], Credit Suisse. Please go ahead.
Unidentified Analyst: Great, thanks. So, could you may be just talk a little bit about I understand that the tables that you are the charts that you are showing us in terms of the earnings outlook are based upon a study state I mean if you think about kind of the process of forward order book and the sales and related kind of all the accounting adjustments I mean is there kind of growth rate that we should think about for the company as we go forward.
Keith Helming: Yeah, just based on contracted business the contracted art book as it stands today and again assuming that we continue to sell at least a $1 billion of aircraft per annum between now and the under 2017 into 2018 would be roughly 5% growth rate per annum.
Unidentified Analyst: So that growth rate is still kind of intact as you....
Keith Helming: It is and again just stress it based on contracted business as of today.
Unidentified Analyst: Right and you mentioned both the $140 million of negative results to earnings from higher depreciation and amortization kind of more than offset by $170 million from kind of better business conditions. Can you talk a little about what those are and whether that’s something that is likely to either run off or get better?
Keith Helming: Yeah I’ll start first with your $140 million on an annualized basis again obviously with the increase in the share price the purchase price we that pay for the ILFC acquisition obviously it was higher because we had a fixed number of shares $97.6 million. So the higher purchase price obviously had to be allocated to the assets and we allocated about $2 billion more to the existing ILFC fleet. So the ILFC fleet was put on the balance sheet and fair value of $28 billion. So obviously the increased allocation results in increased depreciation which is the most of the $140 million per annum and then of course their share comp programs in place so the share price was around $47 on the date of closing. So the share comp programs are based on that particular stock price. So that also increased the cost likely going forward. And 170 million is again based on better top line revenue from the placement activity that we’ve seen thus far also including lower financing cost on the debt issuances especially the take up financing that we did just before closing and then also the faster transfer of aircraft to – and that doesn’t result in a higher run rate long term but certainly in 2014 and 2015 it adds some income because we’re out of lower tax rate in those years.
Unidentified Analyst: Great and then just the last thing from me, it seems like the – certainly the debt equity and the adjusted debt equity numbers are better than what you’ve projected the outset. How does that effect to your thought process going forward?
Keith Helming: You’re right. They’re lower than what we’ve expected that is the other side of run up in the stock price because the stock price doubled, the value of the equity begins consideration of the acquisition was a higher number hence the higher number on the balance sheet. We have stated that our target is to bring the company back to the investment grade level which is somewhere we believe around the three times debt equity ratio and at that time we will evaluate how we look at further delevering growth opportunities or potential return of capital to our shareholders. But as you’ve seen from our track record in the past we are very disciplined stewards of our shareholders money.
Unidentified Analyst: Thanks very much.
Operator: Thank you. Our next question comes from [Maicon Linenberg] from Deutsche Bank. Please go ahead.
Unidentified Analyst: Good morning. This is actually Kathy O’Brien filling in for Mike. Actually I’ve follow up to the debt equity question as previously, three to seven is actually little bit below where you guys thought it would be two years post the merger and so I was just wondering do you have an updated timeline for when you think you will hit that three to one and I know you originally immune to achieve that four to five years post the deal closed.
Keith Helming: We expect to be promise you around three and a half to one level toward the end of this year and then during 2015 we should effectively approach the three to one directly ratio.
Unidentified Analyst: Okay, great. And then if I guess ask one more it was 90% aircraft deliveries to 2016 already committed. Do you feel you could make some further strategic purchases over the next few years or do you think really management is going to be more focused on executing the merger and keeping that moving along?
Keith Helming: Well, the first focus is of course making sure that the successful start we’ve to the integration process is continued on the tremendous internally on that. Of course we are in the market everyday talking to our customers. But as we said we will only spend our shareholders money when we think if there is the appropriate risk and return trade. So obviously you saw evidence of that enough exercising to 50 NEOs that’s been a very successful aircraft for us and importantly that also triggered another option that we can exercise in the coming years for an additionally 50. But if we see the right deal for our shareholders will do if we don’t we won’t.
Unidentified Analyst: Alright, great. Thank you for the time.
Keith Helming: Thank you.
Operator: Thank you. Our next question comes from Scott Valentin from FBR and Company. Please go ahead.
Scott Valentin – FBR Capital: Hi, good morning. Thanks for taking my question. Just on the guidance Keith you guys talked about 5 billion annualized basis for lease revenues there is other income line now is somewhat material I guess because of air turbine. How should we think about that other revenue line going forward?
Keith Helming: Yeah, a good portion of the revenue as you just said air turbine, it’s the part sales from air turbine. So I think on annualized basis other revenue which also includes management fees and interest income should be approaching roughly $100 million.
Scott Valentin – FBR Capital: Okay, alright great that helps. And then another kind of modeling question in terms fully diluted share count where should that end up given that I know the outstanding shares of $212 million at quarter end I know there is share comp and options et cetera. Just wondering where the fully diluted share count should be going forward.
Keith Helming: We actually have reported that fully diluted you see in the fully diluted effectively. So the difference between the basic and diluted is what you should expect going forward.
Scott Valentin – FBR Capital: Okay, great. And then just in terms of I guess delivering has come up a number of times but is there priority and integration is number one focus but in terms of regaining investment great status that is still. Do you think is possible three times leveraged or is it have to be it two and half times leverage.
Keith Helming: We look certainly in discussion with the rating agencies and once we get close to approaching that and there is a strong visibility into future cash flows. But we would certainly start those discussions with the agencies in and around the three times and take it from there.
Scott Valentin – FBR Capital: Okay, great. Thanks very much.
Operator: Thank you. Our next question comes from Justine Fischer from Goldman Sachs. Please go ahead.
Justine Fischer – Goldman Sachs: Good morning or good afternoon.
Keith Helming: Good morning, Justine.
Justine Fischer – Goldman Sachs: The first question I had is on debt repayment I know where the company is cash flow is least of lot of investors on the credit side have been focused on debt that you might repay and I know you’ve asked this question before but I wanted to re-ask it on whether the company is still now considering taking any bonds early if that mess is that option might make sense to you even though the bonds are expensive to take out and then as a side note to that you do have those long term hybrid bonds that are callable and partners I was wondering if the company is considering taking those that as a way to reduce down the balance sheet.
Keith Helming: To answer your first question we’re continuing to look at the existing debt to see is it make sense to take out and replace it with new debt but obviously there is considerable prepayment penalties that cost related to doing that and most of the debt issuances. So it’s not straight forward in terms of economic benefits. One of the things that we’re looking is also looking at obviously debt maturity in 2016 and 2017 and making sure that we spread at all those maturities. So it’s not necessarily repaying the debt but possibly extending some of the existing debt maturities if you will to continue to have a very even flow of debt maturities with the operating cash flows. ILFC has done a great job in the past and is matching those two and we’ll continue having that is one of our primary goals.
Justine Fischer – Goldman Sachs: Any comment on the high res callable part.
Keith Helming: No plans to change that.
Aengus Kelly: There are 50 year money at extremely low rate and is considered 50% equity in the rating agencies hence that’s why we used the term adjusted debt equity ratio because 500 million of that billion is classified as equity by the agencies because of its very long dated nature and that is the cheap cost.
Justine Fischer – Goldman Sachs: Okay and then I also had a question on the asset value for the ILFC fleet that you’re now using because of purchase accounting that was pretty big write down in book value from what the fleet was accounted for at ILFC and I know that you guys have spoken previously about how use a pre-conservative estimate for that and would you think that this is probably the lowest it’ll be for while we shouldn’t expect any more write-downs and at least for the next year to because you guys have been pretty conservative and how viewed that fleet now and do you think your fleet book value is now on the conservative end versus the industry such that if we do and this has been a big topic of conversation on this earnings call. If we do see a turn in the cycle that might be less likely that you guys would have to write-down some aircraft versus some peers?
Keith Helming: Yeah I’ll take so we did write down the ILFC existing fleet by an additional $4 billion. It was on ILFC book at 32 so we put it on that fair value at 28 I think we talked about in previous calls and when we announced transaction that we got values from five different appraisers at that time. The average of those five appraisers was 32 billion. So we were still very confident that the book values that we have and the price that we paid for this portfolio is very, very attractive and again impairment risk is obviously when you come out of a fair value approach is very minimal.
Aengus Kelly: And also Justine as you know there were multi-billion dollar charges taken to ILFC fleet before got to the $32 billion level as well.
Justine Fischer – Goldman Sachs: Okay, great thanks. Those are all my questions.
Operator: Thank you. Our next question comes from Gary Leibowitz from Wells Fargo Securities. Please go head.
Gary Leibowitz – Wells Fargo: Thank you. Good morning gentlemen.
Aengus Kelly: Hi Gary.
Gary Leibowitz – Wells Fargo: Guys just wondering if you can give a little more color on the integration process what are some of the upcoming milestones and also do you still do the integration as a 12 month process?
Aengus Kelly: Yes we would view the integration as a 12 month process Gary. Right now the focus is on transferring the operations into Ireland as we mentioned 90% of the assets have been transferred allow the people around the way over there as well. Ireland will be the largest center of operations so if the company the closing of the integration period. The next key item is maintaining of course our focus on the balance sheet and ensuring that the de-levering process occurs and we’re on track back to investment grade that’s a key priority for the business. And of course we’re very, very carefully monitor our aircraft downtime as I mentioned you’ve had no on schedule aircraft downtime so far. And there is a tremendous focus on that through the integration process to make sure that standard is continued. Go ahead.
Gary Leibowitz – Wells Fargo: Are you on two different accounting systems still two different aircraft tracking systems or when is it just one system for the entire company?
Aengus Kelly: We have spent about nine months effectively working on the – sorry the last eight months work in the integration of the IT systems. Certain IT systems have been migrated over to one system already. By the end of the third quarter the expectation is that we have migrated over to the key systems which are the general ledger and the leasing system. We expect both of those to occur around the end of September start of October.
Gary Leibowitz – Wells Fargo: Okay, thanks that’s very helpful. Also can you just clarify you said you have sold a contract to sale $2 billion worth of aircraft already I know there was the Genesis portfolio 750 or so and then we had a couple of young A330s. Is there $1 billion on top of that which you’ve contacted already?
Aengus Kelly: It’s already done Gary what we said that’s between the announcements of the transaction in December 2013. So it includes the sales out of the ILFC portfolio prior to closing as well between the period between signing and closing. And so a number of aircraft were sold including a couple of 787 during that period. Also we reached an agreement with Airbus were nine of the ILFC A321 that we have contracted to purchase in 2015 have been returned to Airbus.
Gary Leibowitz – Wells Fargo: Okay. And last one guys you made a reference to geopolitical risks in your monitoring then can you talk about the Russian exposure you have in your fleet, it looks like it’s on your, may be 100 plus [points] and there have been some reports of less sourcing, early lease terminations already. Are you seeing any of that or just where do you stand on your Russian customers?
Aengus Kelly: So you are right we do have 100 airplanes but that does not represent 10% of the fleet it’s a lot less because a lot of those aircrafts are value assets of our main concentration in Russia is around the Aeroflot Group state carrier. We have not observed any unusual activity on the receivable side from many of our Russian customers and over the course of the last three months we continue to be paid on time. Of course we are looking very carefully what is going on out there. We have not had any early lease terminations and so far I think that was confined to properly the entity that was sanctioned. But so far we have not observed any unusual payment behavior with our Russian customer base. But as I said we are very carefully monitoring it.
Gary Leibowitz – Wells Fargo: Thank you very much.
Operator: Thank you. Our next question comes from Arren Cyganovich from Evercore. Please go head.
Arren Cyganovich – Evercore: Thank you. You talked about putting 90% of the aircrafts in Ireland already and so you expect to see tax rate around 18% for the second half of the year. Is there further downside for that over time into 2015?
Aengus Kelly: Yeah I mean we still expect to get to roughly the average rate which is 12.5%, $2.15 we’ll be approaching that probably in the 14% and the 15% range and then after that you should see the steady state 12.5%.
Arren Cyganovich – Evercore: Great, and then in terms of the guidance for the second half of the year it seems like you are getting pretty close to the run rate guidance of 1 billion after tax by the end of this year I believe you had previously said that you expected that to be fully implemented by the end of 2015 have you essentially brought that forward a bit in terms of those expectations are there other aspects that are going to be diminishing perhaps gaining the benefits or something over 2015 that has pushed that out?
Aengus Kelly: Yeah well there obviously the faster transfer of aircraft obviously is benefiting 2014 and it will be 2015 as well. So that’s the first thing. And then there is slightly higher benefit from the fair value of the debt as of the closing date of the ILFC acquisition. So the interest cost in 2014, 2015 will be slightly lower than what we originally expected but that fair value of the interest – fair value of that will run off if you will while the course of the remaining debt contracts.
Arren Cyganovich – Evercore: So that would be an upward pressure on your debt class?
Aengus Kelly: Yeah it will be replaced but obviously the rates that we’ve seen like for example what we do with the takeout and financing if you will. So there will be a slight uptick but there won’t be considerable uptick if you will. But there is s a slight benefit in 2014, 2015.
Arren Cyganovich – Evercore: Great and then lastly I think you had said this but the equity credit that you’re using for the subordinated debt in your adjusted debt-to-equity ratio is that the ratio that the rating agencies will actually be using so and when we think about you get into the three times to get back on the investment grade track that’s what the rating agencies will be looking at?
Aengus Kelly: When we discussed this with the rating agency we gave them obviously what our adjusted debt-to-equity ratio calculation was. One of the three agencies actually has a similar calculation. The other two have different one. So we all look at it slightly different but we are very clear as to how we measure it and that’s how we are going to be consistent in reporting this information to investors as well as the agencies.
Arren Cyganovich – Evercore: Okay, thank you very much.
Operator: `Thank you. Our next question comes from Ryan Zacharia from JAM Equity Partners. Please go head.
Ryan Zacharia – JAM Equity Partners: Just to clarify the tax rate question so you expect to get the 12.5% in 2016?
Aengus Kelly: Yes by the end of 2015 we should be there.
Ryan Zacharia – JAM Equity Partners: And when do you expect to have fully realized $100 million of SG&A savings?
Aengus Kelly: At the end of 2015.
Ryan Zacharia – JAM Equity Partners: Okay, thanks guys.
Operator: Thank you. Our next question comes from [Ohat] from Credit Agricole. Please go head.
Unidentified Analyst: Yes thanks for taking my call. I was hoping you could share with us any updated thoughts on the Exim Bank possibly losing its funding and if it did what effect do you think that would have on your business?
Keith Helming: If Exim Bank were to pull out funding the deploying deliveries I think that vacuum would be filled by a combination of people like ourselves very big leasing companies with global reach and also probably the manufacturers be it the engines or the airframes will do something as well. So I wouldn’t see having a huge impact on ultimate demand for the aircraft types but it would certainly, probably favor people like ourselves at the margins.
Unidentified Analyst: Okay, that’s helpful. Can you talk about within the $5 billion of annualized lease revenues, are you including maintenance revenues in that as well or is that something we should add in separately?
Keith Helming: That also includes the maintenance revenues that we expect per annum. And you can see for the period second quarter we had $46 million of maintenance revenue.
Unidentified Analyst: Great. And last one from me. Will you be providing full pro formas for the quarter in your quarterly filing or is that just going that to be shown on a go forward basis.
Keith Helming: Well we’re going to continue to provide guidance as to the key elements of our earnings like we did for the second half of 2014. We’re going to update the pro formas that we’ve already completed for 2013 and early 2014, we’re going to update those for the file purchase accounting if you will. And then we also will provide a pro forma for the stub period in second quarter up to the May 14, closing date.
Unidentified Analyst: Great. Thanks very much.
Operator: Thank you. And we know have a follow-up question from Scott Valentin from FBR and company. Please go ahead.
Scott Valentin – FBR Capital: Thanks for taking my follow-up, just one quick question. Aengus you mentioned high placement rate for the order book. How are the releasing going as you have explorations coming due in ‘14 and ‘15, are those mostly in place?
Aengus Kelly: They are, and we have the smallest releasing task that the combined companies have in many years that’s a symptom of the obviously the market and the improving credit quality of the customer base. And we have approximately 85 odd aircraft between now and the end of 2015. And this platform’s two combined entities has moved over 250 aircraft per annum in the past few years, so moving 80 odd over the course of the next 16 months is a very manageable task for the platform.
Scott Valentin – FBR Capital: Okay. Thanks very much.
Operator: Thank you. Our next question comes from [Tuco] from Deutsche Bank. Please go ahead.
Unidentified Analyst: Good morning gentlemen. A question on the asset sales. You have spoken pretty consistently about a $1 billion of aircraft sales I am wondering if you can talk a little bit about what your strategy and approach is in terms of portfolio pruning are you looking to target certain aircraft types or is it more tactical and opportunistic by aircraft type going forward?
Aengus Kelly: Well there is couple of aspects to disposals of aircraft and the first one is that we have target age for our aircraft portfolio where we have always said in the past we think it should be these are approximately ranges between five and eight years of age give or take. We feel on average if the portfolio is close to 10 years of age then there is probably outsized risk versus the rewards and probably if it’s substantially less than size that the return we’re not taking enough risk for the return for our shareholders that’s a general view in that area. Secondly of course we sell to credit concentration risks and so you so evidence of both of those disciplines during the quarter and where we sold a significant number of used aircraft into Genesis portfolio for example the average of what we sold those 37 airplanes was over 13 years and then we also reached agreement with Airbus on nine A321s that were scheduled to go to American Airlines and given our large exposure there we thought it was prudent and to do a transaction with Airbus where they took back those slots. Well that – our disposition strategy is generally focused towards the older aircraft and managing credit exposure.
Unidentified Analyst: Great. And then maybe a follow-up on – the A330 NEO was obviously launched quite a slew of orders from a variety lessors, I am wondering what you can say about the A330 NEO, how you see it going forward and what do you see is the impact on the existing A330 COs?
Aengus Kelly: We continue to evaluate the A330 NEO obviously at that point in time Doug we were very focused on the integration itself, we did of course have the A320 NEO option in front of us which was a fairly straight forward decision to exercise given the demand we’re seeing for that aircraft and which is strong and we’re very excited to terms we had to launch customer position. On 330 NEO we continue to evaluate as I said and it won’t come into service in any scale until towards the end of this decade it maybe 2019 maybe there will be a few in 2017 and a few 2018 but real production won’t really come in until 2019. And we have not purchased really any A330 COs of any size in the last several years, our order was placed a good few years ago and ILFC hasn’t bought any at all in the last several years. So by the time the NEOs really start to delivery they are not really competitive the average age of our 330 COs will be in a different category and there will be extent 10 years of age to the extent we’re holding them at that point in time, so it won’t be a direct competitor to our COs. And that’s something that we would see is having a huge impact on our carrying values in the near-term and we’re still observing robust demand for 300 market. But the 330 NEO I am sure to be a fine aircraft and we will take a good look at it over the course of the next year or so.
Unidentified Analyst: Great. Thanks, that’s very helpful.
Operator: Thank you. We know take a follow-up question from Mr. Gary Leibowitz from Wells Fargo. Please go ahead
Gary Leibowitz – Wells Fargo: Yes, thanks Gus you mentioned you are seeing especially strong demand for the larger narrow bodies but if I look at your NEO backlog at least officially it’s very much dominant by the A320 and not the A321. What kind of conversion options might you have as you go through this order book?
Aengus Kelly: As a launch customer for the deal and we have very extensive conversion rights. I can’t really comment too much more on it Gary but you can assume that our order book will be weighted towards where demand is at its highest.
Gary Leibowitz – Wells Fargo: Okay. Also just 737 Max the prospects of placing an order there or it was just an absence of the near-term delivery slots that makes you reluctant?
Aengus Kelly: Not so much I mean again it will have to a transaction that makes sense for our shareholders. And we will, I am sure own Max aircraft in the future but that’s a given and how we acquire those aircraft will remain to be seen. Will it be through the global reach of our platform as I said we’re engaged at many levels in strategic discussions with the airlines because any airlines that’s taking new aircraft needs to restructure their fleet. When I say new aircraft’s they are taking existing technology assets or new technology asset they need to make room for the new technology by having of the – existing technology assets, it’s this platform that they are going to have to talk to. And so that gives us a unique position there and competitive advantage when it comes to looking at acquiring the airplanes directly from airlines. And of course with the size of this company now and its strategic position in the industry and we are having a very constructive discussions with the OEMs and if they have put a deal on the table that makes sense for our shareholders they are not something we look at but we’re in no rush, we will find the right way to deploy our shareholders capital because in the end that’s why we’re all here is to make sure that our shareholders get a fair risk and return from the money we deploy for them.
Gary Leibowitz – Wells Fargo: Thank you very much.
Aengus Kelly: Thanks, Gary.
Operator: Thank you. We will now take a follow-up question from Justine Fischer from Goldman Sachs. Please go ahead.
Justine Fischer – Goldman Sachs: Hi. Just one other question on the asset sale front. Part of the $2 billion of asset sales that you have concluded includes the sale of the Genesis portfolio but securitization also new securitization could be a way to sell additional assets in large lumps and let’s say over the next year or two. Is this something that you guys are considering, we’ve heard from some other lessors that sometimes it’s a time consuming process but another’s have issued securitizations in recent years or have sold assets let’s say two securitization vehicles recent year and found it relatively expedient is there something that you guys are looking at?
Aengus Kelly: We sold obviously two big portfolios that were part of securitizations of the ALS portfolio we sold that prior to this year and then obviously the Genesis portfolio. So those were I mean not easy deals but those were deals that and ways to sell a number of older aircrafts. So we’re going to continue to look at that securitization, new securitization when we try to prove our portfolio we will look to see if we can do it through the sales of the equity interest and securitizations if those are the assets we want to sell.
Justine Fischer – Goldman Sachs: Given that there seem to be there are according to news reports large leasing companies out there that either entirely for sale or might also large parts of their portfolios out for sale. Do you think that there is a sufficient buyer base and a strategic that would buy large portfolios in the event that you would chose to not pursue securitizations et cetera and buy strategic buyers for large packets of assets let’s say in the $500 to $1 billion range?
Aengus Kelly: Well Justine we just as you have seen we just sold a package of almost $800 million. And so there are buyers out there and for different size packages I am sure be it 1 to 50 airplanes. And we will do what makes most sense for the shareholders. If we think there is a bitter bid in the ABS market than in the strategic market that’s what we will do and that’s what we’ve have done in the past.
Justine Fischer – Goldman Sachs: Great. Thanks very much.
Aengus Kelly: Thank you.
Operator: As there are no further questions, I would like to turn the call back to the speaker for additional or closing remarks.
Aengus Kelly: Thank you operator. Thank you all again for joining us on the call today and then we look forward to speaking with you again in three months’ time if not be four. Thank you very much.
Operator: Thank you sir. That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.